Operator: Good morning, ladies and gentlemen and welcome to the Secure Q4 2023 Results Conference Call. [Operator Instructions] Also note that the call is being recorded on Monday, February 26, 2024. And I would like to turn the call over to Chad. Please go ahead.
Chad Magus: Thank you and good morning, everyone. Welcome to Secure’s conference call for the fourth quarter of 2023. Joining me on the call today is Rene Amirault, our Chief Executive Officer; Allen Gransch, our President; and Corey Higham, our Chief Operating Officer. During the call today, we will make forward-looking statements related to future performance and we will refer to certain financial measures and ratios that do not have any standardized meaning prescribed by GAAP and may not be comparable to similar financial measures or ratios disclosed by other companies. The forward-looking statements reflect the current views of Secure with respect to future events and are based on certain key expectations and assumptions considered reasonable by Secure. Since forward-looking information addresses future events and conditions, by their very nature, they involve inherent assumptions, risks and uncertainties and actual results could differ materially from those anticipated due to numerous factors and risks. Please refer to our continuous disclosure documents available on SEDAR+ as they identify risk factors applicable to Secure, factors which may cause actual results to differ materially from any forward-looking statements and identify and define our non-GAAP measures. Today, we will review our financial and operational results for the fourth quarter of 2023 and our outlook for 2024. I will now turn the call over to Rene for his opening remarks.
Rene Amirault: Thank you, Chad and good morning everyone. 2023 was another remarkable year for Secure. We achieved record operational and financial performance, exceeding all our short-term objectives. Our strong financial performance underscore the stability and growth potential of our waste management and energy infrastructure business. We delivered significant shareholder value in the year, returning a total of $280 million to shareholders or $0.95 per basic share through a combination of quarterly dividends and strategic share repurchases. We also strategically advanced our position as a leader in waste management and energy infrastructure. Most significantly, the $1.15 billion asset sales to an affiliate of Waste Connections, a large North American integrated solid waste services company, begins to highlight the underlying value of our infrastructure-based business that provides stable reoccurring revenue, while generating significant free cash flow. The proceeds from this asset sale have significantly improved our financial position, affording us significant capacity to enhance returns to shareholders and strategically expand the business and strategically expand in the industrial and energy waste markets. In 2023, we deployed 114 million of growth capital into our core business. Our two major infrastructure projects this year, the expansion of our water disposal facility in the Montney region and an oil pipeline and terminal in the Clearwater region, were safely commissioned on time and on budget. Both projects are supported by long-term contracts, providing critical infrastructure for handling customers’ volumes and consistent cash flows for Secure across all business cycles. During the year, we also completed our strategic portfolio rationalization by divesting of non-core oilfield service business units that did not align with our core infrastructure strategy. Post closing of the sales transaction, we maintain our market leadership in Western Canada and North Dakota, leveraging our extensive facility network to expertly manage waste streams for energy and industrial customers. This record-breaking year is a testament to the hard work and dedication of our entire team, including our 250 colleagues who joined Waste Connections on February 1, upon closing the asset sale. I sincerely appreciate everyone’s effort in helping us to get to where we are today. I believe this is only the beginning for Secure. We are well positioned with the right people, asset network and financial flexibility to take us on our next phase of growth. With that, today, I am announcing my retirement as Chief Executive Officer as of May 1. It has been a privilege to work with incredible people over the past 17 years at Secure. It is their commitment to Secure’s values and strong execution that has allowed us to grow and create value for all stakeholders. I am proud of what we have accomplished together and even more excited about our future. I look forward to continuing on as Vice Chair of the Board of Directors. Our Board of Directors has unanimously approved the appointment of Allen Gransch as President and CEO effective May 1. I’ve worked with Allen since he joined Secure in the fall of our inaugural year. Over that time, Allen has held executive roles in finance, business development, operations and most recently, since 2022, as President. He has acquired extensive industry knowledge and experience, has developed into a highly confident and respected leader. We have diligently planned for this succession and I am confident in Allen’s ability to lead the team as we move forward into the next chapter. I’ll now pass it over to Allen.
Allen Gransch: Thanks, Rene. Good morning, everyone. I first want to offer Rene, congratulations on his retirement from daily management and express my sincere gratitude for the profound impact he has had on Secure’s success. Rene founded Secure in 2007, along with 5 other employees. The company started as a startup with a single linefill and a small entrepreneurial team. Under his visionary leadership over the past 17 years, Secure has established itself as a trusted industry partner, showcasing remarkable growth and operational excellence. Today, Secure is a market leader in waste processing, recycling and disposal for energy and industrial markets across Western Canada and North Dakota, with an infrastructure network of over 75 facilities, 1,600 employees and a market capitalization of $3 billion. Rene instilled the culture of passion and excellence with the organization from the onset, driving the team to think differently, be innovative and challenge what’s possible to develop customer-centric solutions. Rene’s entrepreneurial spirit and charisma and trust in his team, inspires us all to perform our best. He encourages collaboration and partnership, extending the success of the corporation to all stakeholders. This dedication and loyalty, a track record of strong execution and fulfillment of commitments, has earned him the respect of customers, employees, stakeholders and investors alike. I’d like to personally thank Rene for his mentorship and guidance, and I’m honored to be taking on the expanded role of CEO beginning May 1. I look forward to Rene’s continued support as Vice Chair of the Board of Directors and working with him and the entire Board to help guide Secure into the future. Turning now to our year end results. 2023 was a year marked by successful execution across all business units. Adjusted EBITDA of $590 million increased by 6% over 2022 or 11% on a per share basis. This growth underscores the strong utilization of our infrastructure network and the sustained demand for our critical services. We had record volumes over our waste network, helping our customers to cost effectively manage their environmental liabilities. In 2023, our facilities handled, on average, 156,000 barrels of produced water per day and 63,000 barrels of slurry waste and emulsion. Through our processes, we were able to recover 1.4 million barrels of oil from customer waste. Across our linefill network, we safely disposed of 4.5 million tons of contaminated solid waste. Our metal recycling business had a tremendous year of growth in 2023. Operationally, operational improvements and enhanced rail capabilities helped drive a 24% increase in ferrous volumes over 2022 and a 200 basis point margin improvement in the business unit. It was also a year of growth for our Energy Infrastructure segment, which successfully executed on our Clearwater infrastructure project, resulting in our third oil pipeline being brought into service at the end of the third quarter. The infrastructure is backed by three commercial agreements for a 10-year term and supports our customers’ needs for additional infrastructure to support higher production volumes in the Clearwater region, which has seen oil production grow from zero to approximately 130,000 barrels a day over the last 5 years. In 2023, we generated discretionary free cash flow of $363 million, an impressive 62% conversion from our adjusted EBITDA, which enables us to execute on our capital allocation priorities, including delivering on our commitment and enhanced shareholder returns. During the year, we paid $0.10 per share quarterly dividend or $0.40 per share on an annualized basis. Our opportunistic share buybacks resulted in a 7% decrease in outstanding shares in 2023, contributing to the 11% improvement in adjusted EBITDA per share over 2022. Notably, we accomplished these milestones while maintaining the total debt-to-EBITDA covenant ratio below 2x. And finally, we advanced our commitments to ESG. The team is hard at work on our annual sustainability report, which we will provide a comprehensive update on the progress we are making in our ESG journey. A few noteworthy accomplishments include: avoiding 168,000 tons of greenhouse gas emissions through our business operations. This was achieved as a result of our pipeline operations, taking trucks off the road, recovering crude oil from waste and recycling scrap metal, demonstrating our commitment to an injury-free workplace by working the entire year without a lost time injury. We also reduced our recordable injury frequency by 36% over 2022 progressing our short-term target to reduce emissions associated with our operations by 15% over a 3-year period by reducing our year-over-year admissions intensity by 5.4%. Chad will now go through financial highlights for the fourth quarter of 2023.
Chad Magus: Thanks, Allen. Continuing our trajectory of success, the business capped off the year with a strong fourth quarter performance, demonstrating financial strength and stability. Net revenue of $451 million in the quarter increased 12% from the prior year, driven by increased activity in the Waste Management and Energy Infrastructure segment. Additionally, contributions from capital investment projects completed late in the third quarter of 2023 further fueled our strong fourth quarter results. Adjusted EBITDA of $162 million or $0.56 per share was 17% higher on a per share basis, driven by higher revenue and a lower share count. We maintained our industry leading adjusted EBITDA margin of 36%, as we continue to diligently manage inflationary costs through price increases and operational efficiencies. Net income for the quarter was $59 million or $0.20 per basic share, up $0.10 per share from the fourth quarter of 2022, primarily due to the same drivers as our increases in revenue. We generated $128 million of funds flow from operations or $0.44 per share, a 63% increase from the prior year. This drove our discretionary free cash flow of $96 million or $0.33 per share, an increase of 38% from prior year. With respect to returns of capital during the fourth quarter, we repurchased 1.5 million common shares for $14 million and paid our quarterly dividend of $0.10 per common share amounting to $29 million. At December 31, our debt consisted of $153 million of 2025 senior secured notes; $340 million of 2026 unsecured notes and a draw on our revolving credit facility of $419 million. Subsequent to year-end, Secure has repaid the entire amount drawn on the revolving credit facility with proceeds from the sale transaction. Additionally, we have redeemed $153 million outstanding balance of the 11% second lien notes at a redemption price of 105.5 plus accrued interest. We currently sit in a net cash position, providing us ample capacity to deliver on our capital allocation priorities in 2024. We renewed our normal course issuer bid effective December 14, 2023, allowing us to repurchase approximately 8% of the corporation’s outstanding shares over the 12-month period to December 13, 2024. To-date, we have repurchased 10 million shares since the start of the new NCIB at a weighted average price per share of $9.97, for a total of $100 million. I’ll now welcome Corey Higham, our COO, to provide some operational highlights from the fourth quarter.
Corey Higham: Thanks, Chad. In Q4, our core business operations delivered continued strength and consistency, fueling our strong financial results. We handled record produced water volumes across our waste processing facilities, driven by the expansion of the customer-backed Montney water disposal facility, as well as higher same-store sales due to industry trends resulting in increased water volume. On average, we have 170,000 barrels per day of produced water in the fourth quarter, up 23% from the same period in 2022. We saw an uptick, an 8% uptick in landfill volumes from the fourth quarter of 2022, as reclamation and remediation activities picked up, following earlier delays experienced in the second and third quarters of the year, resulting from wildfires and weather conditions. Overall metal recycling volumes increased 33% due to strategic investments made during the year and process improvements, which resulted in improved operating capabilities and efficiencies. In our Energy Infrastructure segment, crude oil and condensate terminal and pipeline volumes were up to 97,000 barrels per day in the fourth quarter, a 2% increase from the same period in 2022, driven by the newly constructed Clearwater heavy oil terminal, which commenced operations in the quarter. Turning now to our capital program. We’re extremely pleased with the performance of our two major growth projects in 2023, both the Clearwater terminal and Montney water disposal expansion products provide reliable volumes and recurring cash flows through customer partnerships with long-term take-or-pay contracts. Our $114 million growth capital spend for 2023 included an additional amount beyond our guidance of $100 million, as we began to invest in the second phase of the Clearwater terminal and some additional capital at our metal recycling and waste transfer locations. The expansion is backstopped by both existing and new customers and will approximately double the terminal capacity to over 60,000 barrels per day. Construction activities are expected to be completed and the expanded capacity operational in the second quarter of 2024. Sustaining capital of $19 million for the quarter related to landfill cell expansions, well maintenance and asset integrity programs for processing facilities and asset purchases for our metal recycling and waste management operations. In total, we incurred $89 million for sustaining capital spent for 2023, in-line with our previous guidance. As for 2024, we continue to expect to spend approximately $60 million on sustaining capital, including landfill expansion, and approximately $15 million on settling Secure’s abandonment retirement obligations. The decrease from 2023 reflects fewer facilities post sale transaction. I will now turn it over to Rene to close with our outlook for 2024.
Rene Amirault: Thanks, Corey. The fourth quarter capped off another extremely successful year for Secure. We generated record adjusted EBITDA and demonstrated our strategy of directing discretionary free cash flow towards shareholder returns, growth and debt reduction in a balanced manner to maximize shareholder value and share future capital allocation flexibility. We took some meaningful steps in ‘23 to advance our strategy as a leading waste management and energy infrastructure company. The accretive multiple achieved from this mandated facility divestiture to Waste Connections, highlights the underlying value of Secure’s business. Secure remained the market share in the year in Western Canada of processing recovery, recycling and disposal of waste streams generated by energy and industrial customers, and we expect to continue to deliver industry-leading margins and a stable cash flow profile, underpinned by rearing volumes. We expect activity levels to remain strong in the energy and industrial sectors, resilient in the face of persistent macroeconomic factors, including the ongoing presence of a global conflict, resulting in fluctuations in supply and demand dynamics affecting commodity price volatility. Customers remain financially strong, focused on modest growth and efficiency strategies for a disciplined production growth within cash flow. Increased producer access to global markets via pipeline expansions will fuel sustained and growing activity for years to come. Meanwhile, the industrial sector is expected to stay stable, supported by steady volumes and demand for our services and activity linked to long-term and reoccurrent projects. Consistent with previous guidance, we expect to deliver between $440 million to $465 million of adjusted EBITDA in 2024. Excluding corporate costs, approximately 70% of that adjusted EBITDA is expected to come from our environmental waste management business segment. We have significantly optionality with respect to capital allocation. We have cash on hand, significant leverage capacity and continue to generate robust discretionary free cash flow. Corporation intends to continue paying its quarterly dividend of $0.10 per share, which offers an attractive yield relative to our peers. Our Board and management team believes substantial disparity continues to exist between our intrinsic value and the current share price. The compelling valuation achieved on the sale, underscores our conviction that we should trade higher than the current multiple. Secure announced our intention today to redeem the outstanding $340 million of aggregate principal amount of 7.25 senior unsecured notes due December 30, 2026, in the coming weeks, which will alleviate restricted covenants associated with shareholder returns. Accordingly, we remain committed to aggressive NCIB share repurchases, and we will evaluate various avenues, including the merits of a substantial issuer bid to further retain capital to shareholders. Our infrastructure network boasts significant capacity to accommodate increased volumes for processing, disposal and recycling, all with minimal additional costs or capital. This efficient network positions us to capitalize on brownfield expansion opportunities, partnering with customers who seek to reduce their environmental footprint and allocate their capital or can generate the greatest returns. At this time, Secure continues to have 50 million allocated for growth opportunities in 2024, that leverage existing infrastructure through long-term contracts. The corporation intends to update its growth plans and provide further details following the entry of agreements with its customers. Lastly, I’d like to thank Brad Munro, a longtime Director of Secure for his 15 years of service on the Board. Brad will not be standing for reelection at the 2024 Annual General Meeting of Shareholders. Brad’s guidance and thoughtful advice, help shape and define the corporation’s growth and best practices on our Board. We are extremely grateful for his valuable contributions and wish him all the best. That concludes our prepared remarks. Now I’ll be happy to take your questions.
Operator: Thank you, sir. [Operator Instructions] And your first question will be from Cole Pereira at Stifel. Please go ahead.
Cole Pereira: Hi, good morning, all. And congrats, Al, on the new role and Rene, on the well-deserved retirement. I just wanted to start on the shareholder returns front. So obviously, the balance sheet is in great shape. You’ve been active with the NCIB, but how do you think about incremental shareholder returns, namely an SIB, what do you need to see before moving forward with that?
Chad Magus: Hey, good morning, Cole. It’s Chad here. We’ll start with the note redemption that we announced. I’m not sure everyone is aware, but we have some restrictions on the amount we can dividend out and do in share buybacks. And we’ve been pretty aggressive on our share buybacks over the last year. So we are – as we move forward, we see us requiring more capacity there. So first step is to redeem those bonds. We’ve got lots of cash on hand, obviously, and capacity on our revolver. So we’re going to do that. And then when we think longer-term, with respect to debt and our capital structure, we’ll continue to look at things that just maximize our flexibility, with respect to all things we do. But first and foremost, the return of capital to shareholders. So all while being – focusing on minimizing our interest costs as well. So that’s kind of the first step then we will focus on here over the next month or so.
Cole Pereira: Great. That’s perfect, thanks. And as you sit here today, how do you think about the growth of the core waste disposal business over the next few years, excluding any further growth projects like – how do you think the volume growth and maybe the pricing upside from that business can move here over the next few years?
Allen Gransch: Good morning. It’s Allen here. Yes. I think we have a lot of opportunities within the business on the organic side. But when I look at the base business and how it’s growing today, I mean you can take a look at our annual results. Our revenue was up by 7%, and a lot of that is just driven by the volumes that we’re seeing at our facilities. We handle over 156,000 barrels of produced water per day, 63,000 of slurry. Our metal recycling volumes were up 33%. We’re going to continue to see the growth in the waste market. And when you look at our facilities today, they’re in that 60% to 65% utilization. So we don’t have to put capital at these facilities – at these 75 locations that we have. We have the capacity to absorb what I would consider these same-store sales growth in that, call it, 5% to 6% per year for the foreseeable future. So I think the base business has a lot of growth potential and a lot of opportunity just in what we handle on a daily basis, to make sure it’s processed and recycled and disposed accordingly. But I think on top of that growth that you saw in Q4, we came out with launching our Nipisi terminal, which came online in Q4 in October as well as our Kakwa water, produced water disposal facility. And so we started getting additional contribution to our revenue from those capital programs. And so when we think about the contribution every year going forward, there’s opportunities to expand these facilities, some pipelines as volumes grow and we’re taking trucks off the road, but also adding new infrastructure in some of these areas like the Clearwater that continue to grow. So not only we’re going to get same-store sales growth, but we’re going to be able to put new capital and brownfield expansion capital to work – to really continue to grow that base business.
Cole Pereira: Okay. Perfect. That’s all for me, thanks. I will turn it back.
Rene Amirault: Thanks, Cole.
Operator: Thank you. Next question will be from John Gibson at BMO Capital Markets. Please go ahead.
John Gibson: Good morning. Thanks for taking my questions. And I wanted to say congrats, Rene, on a great career at Secure. You’ve obviously had the coming up for a lot of success moving forward. First, can you maybe speak to the strong EWM segment results this quarter? You mentioned some stronger ferrous metal pricing and higher production volumes. I guess which of these factors was more impactful this quarter?
Chad Magus: Good morning, John. Yes, quarter-over-quarter, and even over the last 12 months, we spent and put a lot of investment into new equipment and railcars to allow us to more efficiently handle the volumes we see on a daily basis, which allows us to turn our inventory a lot quicker. So when we can turn our inventory a lot quicker, we can get those volumes out to market a lot quicker. Those operation improvements have been key to success in that business.
John Gibson: Okay. Got it. Thanks. The second one for me, as we think further out in terms of potentially getting to your longer-term leverage targets, which will most likely include some type of M&A. I guess which types of businesses and end markets you find most attractive and maybe see fitting into the secure portfolio longer-term?
Allen Gransch: Yes. Good question. I think, first of all, on the organic hopper, I’d say we’re opportunity-rich. I think we’ve already announced for 2024, we’re spending $50 million in growth capital, and we noted that part of that growth capital is an expansion at Nipisi, to move it from 30,000 barrels a day to 60,000 barrels a day. And so we’re going to continue to look at opportunities that are either going to be expansions to our existing infrastructure network or new opportunities where we believe there’s opportunities to put new infrastructure that will be utilized. And obviously, that comes with partnerships and creating efficiencies as we think about the next few years, that, that opportunity is plentiful. And I think we have done a good job of, as those projects progress, we will come to the market and say we have got either a partnership agreement or a contract sign, and we will let the market know what it’s going to look like. And obviously, as Chad talked about, our balance sheet is in such good shape that it gives us a lot of opportunity to progress that hopper sooner and quicker. In terms of M&A, I think we are going to look at businesses that are within our core competencies. We did a big strategic review and said, what are the core competencies of Secure, and we want to make sure that our strategy is aligned with that. And it’s really what you are good at and really doubling down at bringing your expertise to having waste and the types of businesses we want to go after have stability in their cash flows. They are reoccurring in nature. They have partnerships associated. They have infrastructure. And so that’s aligned with our core competencies. And I think what you will see as we progress here through ‘24 and ‘25, that any sort of M&A opportunities that we seek are going to fit that core competency in that strategy going forward. But we do believe that there are some really good opportunities to do some, what I would consider tuck-ins to our base business today. And so we can slowly chip away and add in some great volumes and leverage some more synergies.
John Gibson: Great. I appreciate the response and congrats to you Al, as well, on the expanded and I will turn it back.
Allen Gransch: Thank you very much.
Rene Amirault: Thanks John.
Operator: Next question will be from Keith MacKey at RBC. Please go ahead.
Keith MacKey: Hi. Good morning everyone. Just maybe wanted to start out. One of the service companies that reported last week talked about some potential water constraints on their operations, potentially through the summer given some of the dry conditions. So, as part of the whole water infrastructure market, can you just talk a little bit more about what you are seeing there? Are there any particular opportunities? And what are the main sort of characteristics in the water market these days whether it’s disposal, recycling, etcetera?
Rene Amirault: Thanks Keith. Yes, Rene here. I will give you kind of the big picture view and then try to bring it back to current conditions, whether there is going to be enough snowpack and whatnot. But the big picture here is I think that us and the oil and gas producers want to recycle as much water as possible. And so with that, there is some huge complexities in terms of – if you were dealing with a refinery, you would deal with a very fixed amount of water coming out every day. Well, in our world, especially in the completions world, you have water demand and supply going in opposite direction sometimes and never lining up quite well. So, you don’t want to go out there and put a huge amount of capital for those fluctuations. So, we are trying to work with the customers and say, what’s – what are the easy wins here that we can at least recycle some of this water and do it in a cost-effective way without putting out huge, huge capital investments on either side. And so that’s kind of where the industry is at, in terms of there is a great desire and I think there is ways we can do this. Part B of that, and that’s why we love the specialty chemical business we have. I think there is a bunch of things that we can do through technology and chemicals to make it more cost-effective, easier and better for the producer. And so we are working on some really innovative stuff there, and that’s going to help, and then you get back to the realities of going into – coming out of this spring and going into this summer as to how much freshwater to combine with your recycled waters is going to be there. And that’s obviously, a big unknown. But I think you have everybody at the table, including the government, wanting to increase the amount of recycled water. We just got to do it in a cost-effective way and do it in a way that it makes sense so that the water is there when you need it. And that’s not an easy fix. And I think that’s maybe something that we are going to evolve over the next 5 years. So, there is just nothing easy and quick that we can bring to the industry right now to make this – a solution overnight.
Keith MacKey: Yes, I know that’s super helpful. I appreciate the context, Rene. Now, just to follow-up on the capital allocation, can you just maybe run through sort of your liquidity position post asset sale proceeds and post repayment of the 2026 notes? I think what a lot are trying to figure out is just what is the potential amount of capital you could allocate to a larger share repurchase program or acquisitions, and so if we think about that in the context of like your liquidity and your leverage targets because it seems like this – either of those options are going to have to come out of credit facility liquidity, can you just maybe run through what that amount is and how you would think about potentially allocating between those main uses of cash to the extent that you can?
Chad Magus: Yes. Hey Keith. So, post sales transaction, I think in some of our disclosures, kind of walk through what we had paid off on the revolver and obviously, redeeming the 11% notes. After that, we have approximately $200 million of cash on hand. We redeem these next notes, there is 340 million of the notes, but there is a small penalty to pay. But so that would be putting approximately $150 million on the revolver. So, obviously, revolver is still $800 million, there is $650 million of capacity there.
Keith MacKey: Perfect. No, that’s helpful. So, you have $650 million of capacity. And then the free cash flow generation throughout the year and then you will kind of make the decisions on what you are going to do relative to capital allocation as time progresses. Is that fair?
Chad Magus: That’s a fair comment, yes.
Keith MacKey: Okay. Thanks very much. That’s it for me.
Rene Amirault: Thanks Keith.
Operator: [Operator Instructions] And your next question will be from Patrick Kenny at National Bank Financial. Please go ahead.
Patrick Kenny: Yes. Good morning Rene and Allen, congrats to both of you. Just to follow-up on the notes redemption conversation and removing those restrictions, just wanted to confirm if the plan is to be back in the market with a new fixed-rate offering at some point, perhaps with more flexible conditions? Where do you see yourselves just staying within your credit facility capacity for – even if it means remaining below your 2x leverage mark?
Chad Magus: Yes. Good morning Pat. Yes, our thought process is now we need to address the 340 million notes right now. So, we are going to redeem those no matter what. We have got various avenues to do that, including the cash on hand and the revolver, as I mentioned earlier. But longer term, we do expect to have a certain amount of debt, including some – likely some term debt. So, we will continue to evaluate options. And we are not ruling anything else. We are always going to evaluate what’s best for the time and all stakeholders.
Patrick Kenny: And does the lower level of interest deductibility for the time being anyway, from a taxable income perspective, does that bring forward any cash taxes, or do you still see your cash rise on being a couple of years out?
Chad Magus: Yes. I don’t think it would have a material impact on that horizon. Right now, we see – we will be – we will record current income taxes in 2024, but we won’t likely pay any cash tax on that until 2025. And that – really changed with any change in rate.
Patrick Kenny: Got it. Okay. Moving over just to the organic side here, so Clearwater terminal being doubled by mid-year, I guess Rene, just based on your comments, current activity levels where they are, I guess we have a constructive outlook here for tighter heavy differential once TMX comes off. I guess just how are you guys thinking about when you might need to invest even more into your Clearwater infrastructure to handle what you see coming down the pipe?
Rene Amirault: Yes. And I will let Allen chime in a little bit more. But the – every discussion with our customers up there, and there is still lots of exploration going on with that. So, they don’t really know how much they have up there. So, big picture, you got to believe that, that thing could get as high as 200,000 barrels a day. And so to your point, you are probably going to need some more infrastructure one way or another, but Allen has been talking to the customers here in the last three months or four months, and it’s been pretty positive.
Allen Gransch: Yes, it’s been very positive. And I think as that basin matures and as production matures, you have more water, more production lease coming from that area. And so you are going to need things like treatment to be able to handle some water that’s co-mingled with the production. So, exactly right, as we see the volumes grow, we are going to see the production waste grow as well. And so there will be some add-ons from that perspective. And when you think about even the broader Western Canadian market, I mean we have, with TMX coming online, it’s going to give a lot of our heavy oil producers more capacity to get their volumes out. So, as they increase their volumes, their throughput, we are going to see increased production waste from that as well. And then we have LNG Canada and Northeast BC coming on and that whole Northeast BC area. And while we have – it’s a challenging regulatory market, that’s where we bring expertise, and we work with our customers to say, how can we help you manage these volumes and manage the regulatory aspects of it. And so I think, looking at those opportunities on organically those two big projects, the TMX and LNG Canada coming online are going to stimulate even more capital that we will need to deploy here in ‘24, ‘25 and 2026.
Patrick Kenny: And I guess given those sort of supply push organic growth tailwinds across your legacy energy business in Canada, Allen, even very much aligned, obviously, with the strategy all along. But just from an M&A standpoint, does that maybe redirect your attention or your focus a little bit more towards perhaps beefing up the industrial waste management side of the business, just to help balance out your business mix going forward?
Allen Gransch: Yes. No, great comment. I think when we think about the waste processing facilities and the landfills and given the utilization, we think there is enough capacity in the market, unless we are talking about these areas where are growing because of development. But when I think about the industrial side, our waste transfer stations, we definitely see growth there and opportunity to potentially do a smaller-type M&A opportunity where we are going to build that book of business. And so what you are going to see is more industrial customers that are going to be part of our overall network. When we think about waste management and that side of the segment will grow. Just because I think ultimately, on the M&A side, there is opportunities to use our network of landfills or metal recycling locations to increase throughput and get more efficiencies. So, you are 100% right, that’s an avenue that we can pursue to increase our industrial customers.
Patrick Kenny: Okay. That’s great. And congrats guys.
Rene Amirault: Thanks Patrick.
Allen Gransch: Thanks Pat.
Operator: Thank you. And at this time, we have no further questions registered. Please proceed.
Rene Amirault: Well, thank you for being on the conference call today. A tape broadcast of the call will be available on Secure’s website. We look forward to providing you with updates on Secure’s performance at the end of April after the completion of the first quarter. Thanks again. Bye now.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines.